Deepak Nath: Good morning, and welcome to the Smith & Nephew Second Quarter and Half Year Results Presentation. I'm Deepak Nath, I'm the Chief Executive Officer; and joining me is Chief Financial Officer, John Rogers. I'm pleased to report a solid set of numbers that represents a good step towards our full year guidance and further progress on our strategy to transform Smith & Nephew. On revenue, we delivered the acceleration that we expected with 5.6% growth in the quarter. The Sports Medicine business continued its good momentum across categories and regions. Advanced Wound Management will return to growth with a better quarter in both bioactives and in AWC. In Orthopedics, all of Trauma & Extremities, Robotics and ex-U.S. Recon have kept performing well. And we've made good progress with addressing our performance in U.S. Recon. On profitability, 140 basis points of expansion is around the upper end of the guidance range we gave back in May. Operating leverage and our productivity measures in the 12-Point Plan more than offset external pressures and have positioned us well to deliver a full year target. It's very encouraging to see double-digit profit growth, and also importantly, translating into cash with 60% trading cash conversion, which is well ahead of where we were last year. My assessment when we began this turnaround was that Smith & Nephew was a portfolio of fundamentally good businesses with excellent technology and the right to win in every part of the Company. The diagnosis of why we want that full potential was that we had challenges around execution and culture, and we developed the 12-Point Plan to address those remaining issues. The progress we've made since 2022 is evidence that we had the right diagnosis, and we are now firmly on the path to the better financial outcomes that we've been aiming for. The first half of '24 shows that we're delivering good results from the large majority of the portfolio, making up about 85% of sales. That is a transformation from where we were at the outset. And particularly in Orthopedics, where we've turned around the majority of the business. Trauma and OUS Recon are now consistently delivering growth well above our history. And CORI successfully developed from being a new challenger in the market to being recognized as a leading system, with strong adoption across a range of settings from ambulatory surgical care centers to academic medical centers. And it's how we've done all of this that makes me convinced that U.S. Recon is poised to do the same. Firstly, the specific ways we've driven the rest of orthopedics are exactly what we're doing in the U.S., but driving product availability, capital efficiency and innovation delivery through the various initiatives of the 12-Point Plan. Secondly, we've confirmed the strength of our technology by delivering outperformance with the same products in other markets. And thirdly, I can see the discipline and focus that has come from the 12-Point Plan and our shift to a verticalized more accountable set of business units. And those benefits apply equally to every part of our portfolio. I'll return to some of these themes later and John will talk more about cash returns and accountability in his presentation. For now, I'll take you through the detail of the quarter. Revenue in the quarter was $1.4 billion with 5.6% underlying growth and 4.6% reported with 100 basis points headwind from foreign exchange. Growth also included a tailwind from one more trading day than in the prior year. All three business units accelerated sequentially, and I'll come to the detail in a moment. Geographically, the U.S. grew at 3.6% and other established markets grew 6.9%. Emerging markets grew at 9.5%, with strong double-digit growth across the Middle East, India and Latin America. For the business unit performance, I'll start with Orthopedics, which grew at 5.8% underlying. Global Knees and Hips grew by 2.1% and 4%, respectively. The geographic trends of recent quarters continued with higher growth in the OUS segment, particularly in Europe. Almost half of our recon business is in those international markets, where we're demonstrating what our portfolio can deliver with good execution and even as we, of course, lap stronger comps. U.S. Recon was still behind for the quarter as a whole, but there were encouraging signs of progress. Our operational improvements under the 12-Point Plan are now at go with both implant supply and now set availability at target levels, and that's for both hips and knees as well. We're also seeing indicators of commercial effectiveness moving favorably, particularly around staff retention. Other Recon grew 17.8% and reflects another good quarter of robotics placements, particularly in the U.S. We've also continued to develop our offering with the launch in June of the CORIOGRAPH preoperative planning and modeling. The launch makes CORI the only robotic system to offer a choice of image-free and image-based planning and is another element in our approach of supporting a range of surgeon preferences on a single platform. Trauma & Extremities grew 11.8%, providing half of the overall Orthopedics growth. The EVOS Plating System continues to be a key driver within core trauma and the growth contribution of AETOS Shoulder is steadily increasing as we deploy capital -- more capital and convert new surgeons. Sports Medicine and ENT grew 7.6% in the quarter. Within that, joint repair growth was 6%, including the expected headwind from volume-based procurement in China. While the implementation began only in May, we saw ordering patterns affected for the whole of the second quarter. Excluding China, Joint Repair growth would have been 11.8% with a very strong quarter across our other major markets or other markets. By product, the Knee Repair portfolio and REGENETEN were, again, key contributors. And we're well advanced with the post-integration -- post-acquisition integration of CARTIHEAL AGILI-C. That's one of our next-generation growth drivers. Early cohorts of sales reps have completed the training and we're starting to build outpatient and surgeon access. Arthroscopic Enabling Technologies grew by 8.7%. Higher growth in the quarter came from the expected recovery in video capital sales and continued good performance from our radiofrequency platform, both from COBLATION and from WEREWOLF FASTSEAL. E&T revenue growth of 11.6% was driven by our core tonsil and adenoid business. While underlying demand continues to grow well, I'd remind you that the next quarter will have a very strong prior year comparator within the -- with the effect that the ENT growth in Q3 is likely to be around flat. Looking now at Advanced Wound Management, we returned to growth at plus 3.3%, with recovery, as I said earlier, with both AWC and bioactives. In AWC, 3% growth reflected continued strong performance in foams and anti-infectives and improvement in films. In bioactives, growth came from a strong sequential recovery in SANTYL along with a more normalized prior year comparator. As we've previously indicated, the recent quarter-to-quarter growth volatility or variability is quite normal for SANTYL, and we expect further improvement from the rest of the year. Offsetting SANTYL was a slower second quarter for our lead skin substitute product GRAFIX, ahead of the launch of a new version called GRAFIX PLUS. Finally, Advanced Wound Devices revenue grew by 8%, led by our single-use negative pressure platform, PICO. RENASYS EDGE is also an important part of our growth plans and received CE Mark in the quarter. We plan to launch in Europe in the second half of the year, adding to the U.S. rollout that's currently underway. And with that, I'll hand it over to John.
John Rogers: Thank you, Deepak. It's a pleasure to be presenting to you all in person this morning. Today's announcement actually marks four months into my time as CFO. And as you'd expect, I spent a lot of my time digging into the detail of the Company, the 12-Point Plan and the financials. That's very much an ongoing exercise, but it has already identified opportunities to go further with some of the initiatives. So as I take you through the first half financials, I'd like to share some of my thinking on our opportunities and financial priorities in the coming years. I'll start with the P&L. Revenue for the half was $2.8 billion, up 4.3% on an underlying basis compared to half one 2023. Reported revenue was up 3.4%, including a foreign exchange headwind of 90 basis points. As you can see, growth was higher in our Surgical businesses, with AWM growth reflecting the slow first quarter. Looking at the trading P&L. Gross profit was $1.98 billion with a gross margin of 70.1%, which is 30 basis points of expansion over prior year. We also delivered positive leverage across our operating expenses with good control of our cost base. That resulted in 140 basis points of trading margin expansion to 16.7%, around the upper end of our guidance range and trading profit growth of 12.8% to $471 million. Slide 12 shows a more detailed trading margin bridge. Going through the moving parts, we absorbed headwinds of 120 basis points from input cost inflation and merit increases and 50 basis points from transactional FX, but more than offset them with 120 basis points of revenue leverage from price and volume, and 190 basis points from productivity improvements, mainly for manufacturing but also across all other areas of operating expenses. If I look back at the same bridge from last year, the overall profile of puts and takes is much more favorable today. Inflation pressure was less than half of what it was in 2023, and we were able to fully offset with revenue leverage. That means that much of what we gained through efficiency savings is now dropping straight through to trading profit. I'll talk later about where there are further savings opportunities beyond what we initially planned for. Looking further down the P&L, adjusted earnings per share grew by 8% to $0.376. That's slightly less than trading profit due to the higher tax and interest expense that we pointed to in our technical guidance at the start of the year. The interim dividend of $0.144 per share is unchanged. Trading cash flow in the period was $284 million, with trading cash conversion of 60%, well ahead of the 26% in 2023. The improvement came from lower working capital outflows, particularly from inventory and payables. And as you know, inventory has been a focus of the 12-Point Plan. So it's an encouraging step for inventory days have broadly leveled off after many years of increases. For the full year, we're targeting trading cash conversion around 85%, which is a return to our historical levels and includes the usually higher conversion in the second half of the year. Free cash flow was positive at $39 million, with improved trading cash conversion, partially offset by restructuring costs related to the 12-Point Plan. We should see our free cash flow improve, as profit steps up and planned restructuring charges are lower in the second half of the year. More broadly, we are past the peak of restructuring, and we expect it to improve further in 2025. I'd like to go into a little bit more detail on inventory. Slide 15 shows the trajectory of DSI, both for the group and the business units, with 553 overall days broadly flat compared to the end of half one 2023 that we had some initial buildup of inventory early in the year to support product launches, including AETOS and RENASYS EDGE and then started to see days reduce again as we exited the first half. Behind the overall number is also some encouraging progress on mix. One of the drivers of our long-term growth inventory was past over production of slow-turning SKUs and that has now reversed. Just in half one, we reduced inventory volume with the slowest turning units by 9%, given that the offsetting increases are in new growth products that amounts to a significant improvement in our inventory health. Our goal remains to reduce both DSIs and the absolute dollar value of inventory. We expect improvement across all business units in the second half of 2024, as the new product launches progress and as we continue to deploy instrument sets. Longer-term improvement will mainly be down systematically better alignment of our production plans with commercial needs down to the SKU level. That's enabled by our improved SIOP process that we established under the 12-Point Plan and have now fully embedded. To conclude on the first half financials, net debt ended the half year at $3.1 billion. This is an increase of $310 million from the start of the year, including $202 million from paying the final dividend for 2023 and $186 million from M&A, which is principally the acquisition of CartiHeal. The leverage ratio finished the half at 2.2x adjusted EBITDA with the increase in the start of the year, reflecting our usually seasonality from timing of cash generation and dividend payments, we expect to end the year with a leverage ratio of around 2x. As we continue to improve our cash generation, capital allocation will become more of a focus, and I'll come to our thinking around that in a moment. Next, I'll cover our outlook. After a strong second quarter, we're confident in our full year revenue guidance of 5% to 6% underlying growth. That implies higher growth in the second half than the first. So I'll set out where that will come from. Within Orthopedics, you should expect a stronger half two overall, consisting of continued good growth in Trauma & Extremities, OUS Knees and Hips and Other Recon, together with improvement in U.S. Recon as we build on our progress during the second quarter. We also expect improved Advanced Wound Management with further growth recovery, particularly in bioactives. In Sports Medicine, growth will continue to be tempered by DBP, which will be a headwind for the whole of the second half. In ENT, you should also note a more challenging comparator, as we lap a period of backorder clearance that helped growth in the third quarter of 2023. And finally, second half growth will benefit from two additional trading days versus 2023 compared to unchanged trading days in the first half. As we've previously commented, that benefit should mainly be seen in our Surgical businesses. For phasing within the half, the benefit of the trading days will come in the fourth quarter, although given where those trading days four, we do not expect a fully proportional step-up. Our trading margin guidance is also unchanged, at least 18%. While the margin headwind from VBP will step up in the second half, we expect to see our usual seasonal higher profitability. Slide 18 shows the bridge to the second half margin of 19.3%, that's implied by our full year target. And starting from 19.6% from the prior year, you'll see that the drivers are mostly very similar to what we saw in the first half. We expect headwinds of around 130 basis points from input cost inflation and merit increase, 50 basis points from transactional FX and tailwinds of around 120 basis points from revenue leverage and 150 basis points from efficiency savings. The additional factor will be around 130 basis points of headwind from China VBP pricing, with that lower joint repair pricing in place for the whole of the second half. That's a gross number, representing the pure price impact before any volume or cost mitigation and it's consistent with our previous indication of 70 basis points for the full year. Our progress in half one also keeps us on track for our 2025 margin target of at least 20%. As in the first half of 2024, leverage from revenue growth should broadly offset the effects of input cost inflation and merit increases, with a significant step-up in the pace of cost savings to drive the overall margin expansion. About 2/3 of this will be in manufacturing and distribution, including the benefits of our manufacturing footprint optimization, coming through as we move through the more advanced stages of our restructuring plans, but with continued productivity improvements also continuing in our operating expenses. We still have to fully annualize China VBP in the first half. But when considered net of mitigation and other offsets, we do not expect a meaningful incremental effect on the 2025 trading margin. However, there is still an initial 2024 headwind. And as you're aware, it was not known at the time we set our margin target. We continue to seek opportunities, therefore, to make our business more efficient and offset such headwinds. Building on the existing work of the 12-Point Plan, we have identified further savings opportunities by applying a zero-based budgeting approach. This means that we can drive the cost savings higher than we initially planned for and also for longer. We now see total gross savings at $325 million to $375 million, which to be clear, includes both the total $200 million we already announced in 2023 and also further savings newly identified in this additional review. This will help us get to the 2025 margin target and continues to accumulate through 2027 with indicative phasing shown here in the chart. I want to emphasize two things about this work. First, you can see on the right that they are comprehensive and detailed plans behind this. Over 40 initiatives across seven work streams with specific target savings and timing for each initiative. The largest part will be from manufacturing and procurement, but there are savings across all parts of our business. Second, this is not a new restructuring plan. It's an extension of what we can deliver from the 12-Point Plan. And as such, you should expect that there will not be significant additional restructuring charges beyond what we've previously guided. We're also planning a change in our segmental reporting. After the move to the business unit model, this is the next step we envisage to help embed greater focus and accountability on costs as a normal way of operating. Under our current reporting, we have $211 million of corporate costs in the first half, which is around 9% of the total Smith & Nephew cost base. There are a lot of different things included in the number, such as G&A costs from HR, Finance, Legal, and GBS, IT costs, shared sales support functions and some shared R&D costs. In reality, the majority aren't pure central costs, but are services to the business units. We started the process of adopting a full allocation of those attributable costs to the business units. And from the full year 2024 reporting onwards, only costs that are specifically supporting the PLC will remain as corporate. As a result, corporate costs will be around 10% to 15% of what you can see today. By making this change, both the business units and the corporate center will have greater accountability for all of their costs, and better visibility on the really fully allocated underlying returns. Coming now to those returns. Smith & Nephew has talked less about return on invested capital in the past, but we're making it more of a priority at both the group and the business unit level. There's good opportunity to drive returns higher through both profitability and asset utilization. We've given our target for margin expansion from both operating leverage and cost savings under the 12-Point Plan and the drag from restructuring and the EU MDR project should reduce over time. I've already touched on how we're working to reduce inventory and both the manufacturing network optimization and instrument set utilization initiatives should help drive fixed asset turns. Given our progress already, we expect that the group ROIC will start to rise again in 2024. By division, that will come from Orthopedics and Advanced Wound Management, while Sports Medicine observes CartiHeal and VBP. As I mentioned earlier, capital allocation will become a more active consideration, as our profitability and cash flow improves. So I've taken the opportunity to refresh our policy, which is shown on Slide 23. The first priority remains investing in the business to drive organic growth and to meet our sustainability targets. The focus on ROIC at business unit level and the greater allocation of central costs will give us the visibility to target our investment more effectively, and we'll prioritize investment in the areas where we can expect to see the highest incremental returns on capital. The second priority is to invest in acquisitions. In line with our current approach, we'll target new technologies and high-growth segments where there is a strong strategic fit and with transactions that meet our financial criteria. The third priority is to maintain an optimal balance sheet and an appropriate dividend. On leverage, we'll continue to target investment-grade credit ratings, and we're updating our target leverage ratio to around 2x net debt to adjusted EBITDA. We have a progressive dividend policy. And from 2025 onwards, we expect a payout ratio of around 35% to 40% of EPSA. For 2024, we expect the total dividend to be flat year-on-year. And finally, we'll return surplus capital to shareholders via share buybacks, subject to these target balance sheet metrics. I'd like to finish by summarizing my key areas of focus for the finance team shown on the slide. First, there's efficiency in driving cost savings to support margin expansion and reinvestment for growth. The expansion of our 12-Point Plan productivity targets is an early example of fact. Second, we'll also drive greater visibility and accountability through how we report both internally and externally as with the move to full absorption of attributable central costs. A third focus is cash conversion, and that's both on trading cash conversion, including reducing working capital and also free cash flow by reducing restructuring charges. And finally, we have a renewed focus on improving return on invested capital. We're establishing greater visibility of capital returns at the business unit level, and we'll make use of that to drive improvement for both the group and the individual business units. And part of that is to have a disciplined approach to capital allocation in line with our updated framework. Taken together, this is a wide range of commitment to drive improved financial performance and create shareholder value. And with that, I'll hand back to Deepak.
Deepak Nath: Thank you, John. So as I said in my introduction, we recognize at the start of this turnaround that while Smith & Nephew is a portfolio of fundamentally good businesses, we had a series of challenges around execution and culture that were holding us back. We said about addressing those challenges with a comprehensive 12-Point Plan, which is summarized on this slide. It should be familiar to you. It's nearly two years now since we first announced the program. So I'd like to take a moment to reflect on how far we've come. Slide 27 has some of our achievements. There's a lot on here, and that reflects the scale of the transformation that we've delivered both by activity and also importantly, culture. There are three key things I'd like to particularly call out. First is the successful rewiring of Orthopedics, where we've addressed the long-standing challenges around getting products to customers. At the start of the plan, we had both implant shortages and rising inventory. And on the capital side, both instruments shortages and poor utilization. We've now turned all of that around. Implant availability has risen to our target levels across the key brands, and we've stopped the rise in inventory days at the same time. This is a similar picture with capital, where set availability is now at goal and set turns have risen 25% since the start of 2022. For the majority of Orthopedics, this operational improvement has already produced better sales growth. The second point to highlight is the breadth of our productivity improvements. We've worked out all levers at the same time, including product pricing, procurement and manufacturing. Clearly, the full benefit isn't yet in our reported margins. But you should see it more clearly, as we move through '24 and into '25, and particularly as we optimize our manufacturing footprint, with four facility closures that we've now announced. And third, we've continued to drive the businesses that were already performing well. The verticalized business unit structure means that Sports and Wound have stayed focused through the changes that were happening elsewhere and have delivered on their own set of key initiatives. In Sports, we've trebled the pace of cross-division deals to the point where 10% of U.S. capital sales are with cross divisional support. In Wound, we've brought a new growth platform to our major markets with RENASYS EDGE. We do understand there's a lot of interest and where we still have more to do, and I'll spend a bit more time on our progress in Orthopedics. Importantly, we've already seen clear examples of operational improvements turning into revenue growth inflections. That's in Trauma & Extremities and an OUS Recon. These are both high-performing segments now. And when we started the 12-Point Plan, they were in a very different place. And Trauma had been a drag on overall group growth for many years. The elements of how we've turned Trauma into an important growth driver mapped very closely to the plan initiatives. We delivered key innovation with the U.S. launch of EVOS Large in the third quarter of 2022, and that completed our plates and screws offering. Next our implant availability stepped up with EVOS Small, first hitting its LIFR target in 2022 -- third quarter 2022 and then staying consistently at goal in subsequent quarters. The final piece was capital availability, when set deployments started to inflect upwards in the first quarter of 2023. With these things in place, along with good commercial execution, implant sales accelerated in the quarters that followed, getting to growth above our history and, in fact, above the market. The growth outlook has been further supplemented by our entry into extremities, particularly with the recent launch of the AETOS Shoulder. U.S. Recon is not as far along in this path, but you can see that the same key elements are in there as well. On implant supply, key product LIFR reached its target in the fourth quarter of 2023 and capital availability followed soon after, with hip set shipment also at goal in Q4 and knee sets reaching their goal in the second quarter of 2024. This is also being supported by a steady stream of product launches over time such as the newly launched short-stem hip. So we're also making progress on improving Recon across commercial execution. You'll remember this slide from the last quarter. We had already done a lot, including establishing new business unit leadership with Craig Gaffin, who had previously led our Trauma & Extremities turnaround. And the team has made good progress on the remaining issues in the second quarter, with those items in orange on the slide. I just highlighted better capital availability, and we now have a more settled commercial team. Key leadership roles are filled. Staff turnover is back to a low level, and the new growth-oriented compensation plan is now fully in place. Between OUS Recon, Trauma & Extremities and Other Recon, 60% of Orthopedics is already growing well. We know that U.S. Recon is taking longer to turn, but we also know that what we're doing works. The U.S. is selling the same product portfolio that's performing well in Europe. Even with some different market dynamics, it's following the same playbook that has already succeeded in U.S. Trauma, and it's being driven by the same leaders. Supporting that, we've continued the high cadence of innovation, which is central to our strategy. In Recon, we've announced the 510(k) clearance of CATALYSTEM. This is a new shorter hip stem suited to the direct anterior approach, which represents about half of the U.S. market and is growing at double digits. CATALYSTEM is designed to be easier to prepare and insert, including simpler instrumentation in just one tray. So it will make us more competitive and differentiated in this fastest-growing segment of Hips. In Robotics, we've continued to develop CORI with the addition of preoperative planning. We have a uniquely flexible platform with CORI, supporting both bur and saw-based resection and now also image-free and image-based planning for knee surgery. And Hip will soon follow. This takes us to 10 new features on CORI since 2022, and that has resulted in higher adoption with an installed base that's 70% larger than it was at the start of 2022. And importantly, utilization is also increasing. The innovation delivery has continued across the portfolio as well. The full commercial launch of AETOS Shoulder was in Q2 after the initial steps were made last year in 2023. We're also commercializing GRAFIX PLUS, which is a new version in the GRAFIX skin substitute range that is easier to handle and targets the growing post-acute market. Finally, I'd like to connect all of this to what we said we would do at last year's Meet the Management event. On growth, our aim is to be consistently a higher-growth company than in the past, with annual revenue growth of at least 5%. After a good Q2, we're on track for a third consecutive year of delivery against that based on the three components of higher growth we identified at that time. The first was fixing the foundations of Orthopedics, as I've just set out. Most of the business unit is now growing strongly, and the team and the necessary operational fixes are in place for the rest. The second was to continue the strength of Sports Medicine and Advanced Wound Management. We're delivering that as well. Sports Medicine maintained its long-term market outperformance in 2023. And although AWM has quarter-to-quarter volatility, it also had its third consecutive year of better growth at 6.4% versus 5% for the market and is set to accelerate in the second half. And we're very proud of the innovation we've delivered across our portfolio. We've launched more than 70 new products in the last five years and the three key launches we define as the next wave of innovation are now starting to ramp up, AETOS, RENASYS EDGE, AGILI-C. John has set out our progress on profitability and returns. Again, the trajectory is improving. The trading margin expansion in the first half puts us on track for this year's target, and we have further margin drivers in the pipe for 2025 and beyond. Cash flow is improving, working capital costs are falling and restructuring costs are set to also improve. The 12-Point Plan is increasingly delivering the outcomes that we designed at four. We identified the necessary actions for each priorities, and they translated first into improving KPIs, then into better revenue growth. With these results, you can see that better profitability and cash flow is starting to come through as well. There's still work to do. And the financial benefits will continue to accumulate, supported by a new embedded culture of focus and accountability. And I'm confident that shareholder value will follow. So, with that, John and I will be happy to take your questions.
Q - Unidentified Analyst: I have three please. First, on margin. So how much conservatism is baked into the guidance for full year? And actually, could there be a meaningful upside to that 18%? Then on CORI, so you talked about the record quarter of placements -- sorry, revenues in Q2. How does that translate into placements and utilization? And do you have any targets you can share for placements for the full year? And then lastly, on the cost savings. So on the additional $125 million, $175 million of cost savings you identified, you said that there was no additional investment needed, but then you talked about restructuring charges in 2025. So can you just tell us what your expectations are for those charges?
Deepak Nath: Sure. Thanks, Jack. So let me take the CORI question, your second question first, and I'll hand it over to John, so you can take the first and third. So on CORI, we haven't issued quarterly targets, right? We're tracking -- we report revenue from Robotics and Other Recon. But what I would say is in terms of placements, we're into double-digit range in terms of growth period-over-period. What I'm particularly encouraged by is actually the resonance that it's having across a range of care settings, not only in the ASCs, in regular sized hospitals but it's also an academic medical centers. And in the past, I've said we haven't necessarily been particularly strong in that part of our business in AMCs. And what I'm particularly pleased about is that we're getting traction in that segment as well. So it's serving -- or it's progressing as I had hoped it would. The important thing also is we're not just placing these out there. We're placing it where there's a demand for it, where there's a need for it and where your surgeons are using them. So utilization is actually improving as well. So we'll come back at year-end and tell you how we did in the year. I don't want to get into this quarterly kind of what it is. But what I'll leave you with is I'm pleased with not only placements, but also the fact that they're being used to healthy levels, right? So I'll leave that. And John, do you want to take the other two?
John Rogers: Sure. Your first question regarding margin guidance and conservatism. I mean, the guidance is the guidance. There is no conservatism built in. Obviously, for the first half, as we said, 16.7% around the upper end of the range that we gave. It's important to remember, though, that we've got the full impact of VBP -- China VBP coming in the second half, and we signaled that in the margin slide. So with that uncertainty, we're comfortable in reiterating our 18% plus guidance for the full year, but I wouldn't assume just because there's been a strong first half that there's any beat to that. In terms of the cost -- the restructuring cost question, I think we signaled at the very start of the 12-Point Plan, that will be sort of circa $270 million, $275 million or so of restructuring costs associated with the 12-Point Plan. That guidance remains the same today. Now we will see probably circa, I'd say, $80 million or so in this year's number on restructuring. And if you do your math, that means there's a small rump likely to fall into 2025, probably around $10 million, $15 million or so, but we're not anticipating any further step-up in restructuring. Then there may be some small cost -- nominal costs associated with the additional savings that we've identified, but we'll take those above the line and -- where we're comfortable with the guidance on restructuring costs.
David Adlington: David Adlington of JD Morgan. Firstly, just on your additional focus on returns that was quite interesting. Could that lead you to reassess whether some of the low-return businesses still remain part of the portfolio? And then secondly, also on margins. But maybe as you think about the additional cost savings you've found now, obviously supporting next year's margins, but beyond next year, obviously begins to look into 2026, how you think about the margin trajectory beyond '25?
Deepak Nath: Do you want to take that, John?
John Rogers: Yes. So I'll take the last question on margin trajectory. I think we're very comfortable in reiterating this year's guidance so we're confident in the target set for next year. I'm not going to get drawn into a conversation on what's going to happen in 2026 and beyond. Obviously, you'll see from the trajectory on the chart, the cost savings we assume we've got a little bit more coming through in '26, a little bit more coming through in '27 on phasing. But as you can see from our various margin bridges that we provide you, there's lots of moving parts in the margin, inflation, costs, leverage, et cetera, et cetera. So at this stage, I think it's too premature to assume to what extent those additional cost savings, and they're relatively nominal, frankly. Are they going to fall through into margin in '26 and '27? Obviously, we'll provide you with that guidance closer to the time.
Deepak Nath: And in terms of returns, do you want to take that or...
John Rogers: Well, look, I think that we -- as a management team, we're focused on returns at the business unit level. We're focused on returns at the group level. I think we see the opportunity to improve across the board, particularly in the ortho business, if you look at our ortho business but we're on a journey there. And so we'll talk through the return numbers at the year-end, and you'll see we expect to see significant improvement in capital returns. But we're very focused on how we think about the portfolio, where we allocate capital. And as I said in my presentation, the intention will be very much to really only allocate capital where we consider we can get our highest incremental returns going forward.
Deepak Nath: Just one small build on that, David. Where we've historically struggled part of the culture change in our company is that often capital is treated as free. And the biggest impact was in the Orthopedics business. So when John, on his slide, puts up the focus on margins, which, of course, is important, right, because that's particularly on the orthopedic side, equally as important is the focus on asset efficiency. So in terms of what we're changing and how we are operating and how we're behaving as a company, those are the key areas that we look to, to get the improvements in return on capital and orthopedics that ultimately feeds into the better returns to the better road than we're targeting.
John Rogers: And just to bring that to life and give you a little bit of color. I've actually got a meeting at the end of this week with the team to talk about how do we extend, for example, inventory performance metrics across a broader part of the business, has mainly been focused on operations historically, how do we get our commercial teams really talking and thinking about inventory in the way that we would like them to. To Deepak's point historically, they've seen it as being free, and therefore, it's often on the business on a just-in-case basis rather than a just-in-time basis. So this additional focus on inventory and capital more broadly, I think, will be supportive of the improved trajectories that we're expecting to see.
David Adlington: Just to be clear, there's no signal here that you're looking at divesting any particular part of the business that doesn't meet any returns goals?
Deepak Nath: No, I think we're very comfortable with the portfolio overall. This exercise is being done to ensure that we focus on returns across the group and the individual BUs and to make -- and part of the exercise of allocating out the corporate costs is an extension of that, so that we can appropriately measure the capital returns at the BU level and therefore, from that, make sure that we're driving the right actions, the right behaviors across the business to improve those returns, but we're obviously always conscious of individual business units performance and returns. And we're conscious of it in the context of where do we want to allocate our capital. We have choices about where we invest, where we place our R&D funds, where we invest in driving growth in our business and providing visibility of these returns will give us a better means to make sure that we're allocating our cash in our capital where we expect to see the best returns.
Sebastien Jantet: I'm Sebastien Jantet with Panmure Liberum. I'm just going back to returns again then. So David, I welcome the focus on ROIC. Can I ask if you can give us a little bit of the difference of returns between the divisions, ROIC at the moment so we can kind of get a sense of where that lies. And also, I just want to check, are you going to give us the assets by division so we can calculate this ourselves going forward? So that's the first question. Second question is on the bridge that you put for the 18% to 20% margin. I couldn't see anything in the FX. Presumably, there will be some annualization of FX in that. Just want to check that 20% isn't a constant currency guidance? And also within that, what are your assumptions for pricing? Because obviously, as we kind of come out of a high inflationary environment, where we've been in a slightly unusual pricing environment for med-techs. What are you assuming in terms of pricing in 2025? And then the last question is coming back to these additional restructuring kind of savings. So great that I think you -- I think it's between $50 million and $100 million of additional savings. Perhaps you could give us a little bit more detail on what those are, and why they don't have any costs with them?
Deepak Nath: Sure. Maybe I'll take the pricing point, and then you can get the rest John. So on pricing, as I've commented previously, when the questions come up, our ability to pass through inflation-related pricing in the med-tech sector is quite limited. Against that backdrop, we've been able to pass through some of that pricing. We've also indicated that our plans or guidance that we gave didn't necessarily factor in exceptional pricing. And I did indicate that over this period that we get back to more normalized kind of a pricing environment. That is the basis of our planning, and we do expect some of those tailwind on pricing or ability to pass through inflation-related costs to kind of peter out here as we get into '24 and '25. So maybe you can take the rest John.
John Rogers: So I think your first question was, can I give you some indications to the current returns by business unit? First and foremost, we will split all of that out and give you that detail at the year-end. And we're not going to disaggregate the balance sheet for you, but we will give you the ROIC number by business units. So you'll see that -- you can sort of infer the assets if you want to. But to give you a little bit of color on it, it won't be of any surprise to you that if you look at our Sports business, as an example, that's broadly speaking, the group average. Our Wound business is better than the group average. And our Ortho business is worse than the group average, albeit on an improving trajectory. So our sort of Ortho business probably at the end of this year will be circa half of what we would expect the group average to be, but we're driving that half to improve that return over time. But I would say, we'll give you a lot more detail at the year-end when we give you those figures. I think your second question was on the '25 profit bridge and whether or not the -- why no FX? Well, I mean, FX is notoriously difficult to forecast at the best of times. We do hedge going forward, roughly 75% of our cover. As we sit here today, based on our best guess estimations, we think that the FX impact on '25 will be relatively neutral. Maybe, I don't know, 10, 15 bps headwind. So we haven't included it on the chart, but we don't think it's going to be at this stage material. And then your last question, I think, was on restructuring. What gives us confidence that there aren't sort of a huge additional restructuring costs coming through. And it is to your -- the depth of your question, which is the initiatives that are going to be driving that. So there's a lot of opportunities in our manufacturing business that we've talked about in the past. We're doing a lot of work on our lean manufacturing, how do we become more efficient. We're looking at our sales structures, where we're looking at our indirect procurement. Indirect procurement is a big opportunity for us, for example. And these things, generally speaking, given the locations, given the task at hand, they're not going to require huge restructuring charges -- additional restructuring charges. Now there may be some costs associated with that, but we'll just take those into our underlying numbers.
Deepak Nath: And just to clarify, our guidance is not on a constant currency. So we will need to work -- part of some of the initiatives to go work harder to identify those additional savings is to offset those headwinds this year and last year's FX, but there were other things -- China VBP and other things, right? So it's not on a constant currency basis.
John Rogers: You take these things in our stride.
Richard Felton: Richard Felton from Goldman Sachs. Two questions from me, please. First of all, on robotics. How far is Smith & Nephew away from having its fair share of robotics procedures in the U.S.? And then given some of the innovation and upgrades on CORI, do you see a plausible part of getting your fair share? That's question one. Question two is on China VBP. In your second half margin bridge, you've got 130 basis points of margin headwinds, which, John, you explicitly said was before any offsets. I was wondering if you could give us any sense of what those offsets are? And how much benefit might come with those?
Deepak Nath: Sure. I'll take that. So with CORI -- we are already placing above our share position, with CORI today. And we're still in the early stages of our journey. As I said, I'll come back a year end and give you a utilization number. I gave you that. I can't remember now whether it was at year-end last year -- we've given you the last number. It's fair to say we're substantially above that. Now even as placements have grown, which is very encouraging, right? So we're replacing them for -- they're getting utilized. It's an explicit part of our strategy. And that adoption has been driven by competitive activity, right, going out and representing. It's not just about CORI, right? It's about the whole portfolio. It's important to kind of put that perspective out there, which is we've got a very competitive implant portfolio now with CORI's enabling technology that value proposition in combination is great. But just double clicking on CORI, the ASC is a big growth driver in the United States. It's not so in other markets, at least not yet. And the form factor for CORI has always had resonance, and we've talked about that in the past, right? It's lighter form factors, flexibility, lower cost. All of those things lend themselves to the economics and the practices within an ASC. And of course, we're seeing that and we're placing above our share position within the ASC. But for us, equally as important is that this is flexible enough across a range of settings. And as I said earlier, in the AMCs, the advantage of having a form fashion like CORI is you can have one across multiple OR suites, right? So -- and that's an important piece of it. And it can coexist with other robotic placements. And we're starting to see that play out. In fact, the number of multiunit CORI deals has been increasing. Was increasing, I called that out, in 2023. We're actually built upon that in '24. And I alluded to the cross-business unit deals in the context of sports. And in fact, what we're seeing is across Orthopedics and Sports and most of those involve CORI and one way, shape or form. So that's been very, very encouraging. Some of the functionality that we've added has been an important driver of that as well. And you've seen through various presentations what they're and I want enumerate them for you, but you can look those up. One important thing I'll call out is we're in the very early stages of our hip journey. We called out the fact that we've just now launched CATALYSTEM, which is our offering for the fast-growing direct anterior approach, but there's a whole pipeline of functionality, we're going to be adding to CORI. So you'll see more of that to come in the coming quarters that should further fuel uptake of CORI. So hopefully, that addresses the question. It doesn't give you the numerics you're looking for, but hopefully, the color and context here.
John Rogers: And just on China VBP as you rightly call out, the second half '24 impact is 130 bps. So that annualizes effectively for 2024, 70 bps of headwind as we've said and guided to previously. That is both actually a gross and a net number, so pre and post any mitigations in the second half. In the first half of '25, you've all else being equal, if you say [indiscernible] 60 bps of headwind at the gross level. But we believe in 2025, various actions can be taken to mitigate and offset that. There's a little bit around volume that comes through that we think can offset some of that headwind, is a little bit about cost actions that we'll take that would also help us. And they will take a little bit of time to come through, hence, why you see them in the first half of 2025. And there's also -- we didn't -- haven't really called it out detail in the bridge, but there's a little bit of the fact that we're going to be lapping some of the pre-implementation effects that you've seen in the China number for the first half of this year. So when you look at it on a net-net basis, we think it's going to be -- we say broadly flat. They're calling out -- I mean, they may be 10, 15 bps or something of headwind, but we're comfortable with the numbers and the guidance, obviously, at 20% plus for the full year.
Deepak Nath: Operationally, just one quick build on it. Obviously, we've got experience about mitigating actions, having gone to the Ortho VBP recently that one contrast I'll draw for you in Sports versus Orthopedics is, in Orthopedics, it's pretty much the whole category that were impacted. In Sports, it's a subset, right? It's a joint repair. The capital piece of it is not. So there's still commercial activity that's going to be needed to represent the portfolio and actually drive Sports across the board, right? So that is an important difference there between how orthopedics went. So the mitigation -- mitigating actions we need to take here have to take that into account. So I just want to operationally draw attention to the fact that it's not exactly the way Orthopedics went. But obviously, our decisions will be informed by kind of our experience in Orthopedics.
Graham Doyle: Graham Doyle from UBS. Three questions, they should be quick. On the first half R&D spend, that was down quite a bit. Is that a factor of last year being overly high or is the phasing? Or just to get a sense of what's going on, what's not? On the plant closures, are they done now? Have you got through most of that -- should we see a big step up then through second half and first half next year in terms of the margin there? And then one last one on ASCs, which is if you look back at your Ortho performance pre-COVID, it was there or thereabouts with market. And then it obviously starts diverging versus peers. And there's lots of reasons that could be, but we did see ASC step up massively in terms of share. Do you think that was a factor in that? And are there things that you can do post this transformation, which get you back on a kind of front foot there?
Deepak Nath: Yes, sure. So first on the R&D spend, that's a phasing thing. So we expect when you step up into Q2 -- into H2 and year-on-year should be broadly comparable, and that has to do with the nature of when the spend occurs in any given program. Second, in terms of ASCs. What I'd like to remind you here is a good chunk. I think we've previously given a number of 40% of our Sports business actually goes through ASCs. So we're actually quite well present in that channel. We know how to commercialize that channel -- in that channel. We're in the earlier stages on the orthopedic side, particularly on the Recon side, the industry is as well, but we ourselves relative to the industry in the earlier stage of that. But with CORI, we've got a great offering, a great part of the value proposition to be relevant in that ASC setting. And it's not just CORI as one thing, but as we add more features and optionality into it, our value proposition of CORI just increases. We just announced HOPCO -- arrangement with HOPCO. HOPCO -- as ASCs further evolve and adapt to the requirements around reporting patient reported outcomes and other things that becomes an important part of how you increase and enhance your value proposition into the ASC. So our agreement with HOPCO now is further evidence of us focusing on that channel, improving our offering into that channel and ultimately translate that into outsized performance there. But we're also very clear eyed about where we can compete, where we're advantaged in ASCs and where we're not. So we have a pretty good understanding of how we segment the market and very focused -- pretty focused on where we want to win and where we have a pretty compelling value proposition. So all of that should translate into continued better performance there or above-market performance. As I called out, there's many layers to this whole cross-business unit kind of deals and how we continue to do well with the portfolio we've got. One of those is further drive into that channel. Plant closures. I mentioned four, we've just announced the closure of Warwick, which is a small site, focused on one particular product portfolio. As we look to drive further productivity and efficiency, we're taking volumes from some of the smaller sites and transferring that over to our larger sites within the Orthopedics network. So that's an additional closure into it.
Graham Doyle: The Memphis site produces for ex-U.S. as well?
Deepak Nath: Yes, it does.
Samuel Joh: Sam from Berenberg. Just two questions for me. So first one on the 12-Point Plan, are any of the initiatives behind where you wanted them to be at this stage after sort of a couple of years? And specifically in U.S. Recon, are any of the operating metrics have improved as a result of the 12-Point Plan, giving you particular confidence in the second half recovery? And then on GRAFIX, just a quick one, are you seeing any changes around customer stocking dynamics due to the draft LCDs in skin substitutes?
Deepak Nath: Yes. So the 12-Point Plan, some of the lead indicators, we look at deal activity, particularly around CORI. So that's progressing well. Set turns, I indicated that a reference point was the start of 2022. And we've seen a nice healthy improvement. In other words, our capital efficiency is improving. And that's a result of a lot of actions commercially how we do business, right, commercial processes that contribute to that. And as we look at our wins, right, they bode well, right, in terms of how the second half is going to develop. So there are some lead indicators within the 12-Point Plan that gives us confidence that the second half, we'll start, to see the U.S. Recon turn as well. GRAFIX. So with GRAFIX, we haven't seen particular changes in stocking behavior as a result of the LCD termination. Obviously, this draft, and it's hard to forecast when that would go into effect, but we're expecting at some point this year, and that will, of course, usher in a different dynamic. But we haven't seen necessarily different kind of stocking behavior with GRAFIX related to that.
Caitlin Cronin: Caitlin Cronin from Canaccord Genuity. Two for me. First, in Trauma. You continue to note the importance of the EVOS plating launch. Stryker is launching its Pangea Plating System this year. Do you expect to see some competitive headwinds as their product goes out? And then on AGILI-C, how are you thinking about the commercialization strategy here as you read your sales team? And for reimbursement, has that been established, what are the codes, et cetera?
Deepak Nath: I didn't acoustically hear the second -- what product were you talking on the second question?
Caitlin Cronin: On AGILI-C, commercialization strategy there and reimbursement, if that's been established.
Deepak Nath: Yes, sure. On the first part with EVOS, we're well aware of competitive activity in that area. We feel very good about our offering. You are -- obviously the results of Trauma over the last couple of quarters give you a proof point of well do it commercially. So we don't underestimate our competition by any stretch, but equally, we're confident of our -- not only our product portfolio, but actually, the commercial team's ability to compete effectively. So we feel good about it. With AGILI-C, as I mentioned, the initial cohort of our reps have been trained, our early experience with it has been very good, as we go beyond kind of the initial cohort of surgeons. The reimbursement will take time to establish. We're still in the early stages of activity around that, right? But we have good experience establishing this for other therapies, whether it's for REGENETEN's the one that I would call out, right, is the most proximate experience. So we've got a good team working on it, and we feel good about our ability to kind of get the appropriate reimbursement for innovative technology like that, but we're still in the early stages. Questions on the phone?
Operator: [Operator Instructions] Our first question comes from Julien Dormois from Jefferies.
Julien Dormois: I have three, if I may. So the first one is kind of from the previous one on Trauma. I mean, having covered the stock for quite a few years now. We've seen that business is kind of being very much like one step forward, two steps back. So just what is the [indiscernible] and how comfortable are you about the business now being really back on a nice growth trajectory? Second question relates to probably more for John, and I mean you already disclosed a lot around this. But in terms of the restructuring adjustments, historically, we had a difference of about probably 6 to 7 percentage points between trading profit and reported margin. This has been something like 10 or 11 percentage points in the past few years. So is a return to normalize or, let's say, to historical range credible in your view? And what would be the time horizon for this? And the last question also comes back on wound biologics and reflecting around the draft LCD. Have you had more discussions on the ground and so on as to how it could impact your share of business in that segment, if you are one of the few lucky companies on the final list?
Deepak Nath: Okay. Well, thank you. So let me take the first and the third one, I'll then pass it to John. So on Trauma, acknowledged, you point about us taking a step forward and two steps back. But I do believe we're well positioned, and why do I believe this? We now have the full complement of products that we need. So with EVOS, we've got EVOS Small, Large, the full plating system and full screws to be competitive. Trauma, in terms of the contracting occurs, typically, it's not contracts for large-sized plates or small-sized plates or screws that tend to contract for the whole kit. And we haven't necessarily approached that launch as well as we could have, right? It took us a long time to get the full product portfolio together. But we now have the full product portfolio. We can be competitive in RFPs. And it's a very competitive product. So the strength of the product, the completeness of the offering and of course, all the improvements we've made around availability and commercial execution is a difference to how we were positioned in the past. So those are the ingredients that I feel good about in terms of our ability to execute, right? So hopefully, it will be now two steps forward without the step back that you've seen in the past. On the third around LCD. So first off, we're one of the 15 products that are covered. We feel really good about the quality of our offering, the innovation that's inherent in the products we offer and really good about the clinical evidence that supports -- or the evidence that supports not on the clinical differentiation, but also the economic benefit of our products. So first principles, we are well positioned there. But I'll remind you again that it is draft coverage here. Now in contrast to times in the past, it's all seven MAX now have come out with this. So there's a high likelihood that it's going to go through. But until it's fully implemented, it's hard to say whether in the final form, it will be the same as what we've seen in draft, right? So this, as you know, is a pretty -- is a fairly complex reimbursement mechanism in this category. It is inherently difficult to predict how things are going to go, but you got to go back to first principles, and the first principle is the strength of our product portfolio and the evidence base that supports it. That's the hard stuff, and we're well positioned to navigate whatever reimbursement landscape kind of looks like on that. But it's hard to kind of forecast how this will really play out when the draft turns into final legislation. John, do you want to take the restructuring?
John Rogers: Yes. So on your question on restructuring charges, I think you were alluding to a history of there being a big delta between our unadjusted profits and our reported profits as a consequence of putting large amounts of restructuring charges through the P&L. I think just to be clear, we've clearly signaled restructuring charges associated with the 12-Point Plan. They will come through. The bulk of the remain they come through this year, a little bit next year, as I said. Going forward, we're not saying there will never be any more restructuring charges. We're just saying we don't -- we expect our restructuring charges to be significantly lower going forward. So there won't be this material gap -- this historical gap that existed between underlying and reported. And I think that's been very clearly signaled.
Deepak Nath: I understand there are more questions on the phone. Take the next one.
Operator: Our next question comes from Veronika Dubajova from Citi.
Veronika Dubajova: I have three, please. First one is, maybe you have -- just get a commitment from you on what you could consider a success as far as the U.S. Hip and U.S. Knee performances concerning in the second half of the year? I appreciate your commitment to improving performance. Maybe you can tell us what you consider a success versus a disappointment as you think about the second half of the year in the U.S. Hip and Knee growth rates? My second question is for John, and John thank you for all the margin bridges. They're incredibly helpful. Just maybe can you a little bit, if I look at the second half versus the first half, you're expecting the same contribution -- a positive contribution from revenue leverage and on manufacturing efficiencies, but you do expect higher growth in the back half of the year and also more progress on restructuring. So just trying to reconcile those two statements in the bridges and whether there is something that...
John Rogers: I'm struggling to hear what you're saying. Maybe if you can just -- we're in a massive hall and it's sort of echoing around. So could you just repeat your question and perhaps a little bit slower. And if you can just pronunciate so that we can -- it's terrible acoustics in this hall. At least for me, I don't know about the rest of them.
Veronika Dubajova: Of course. No problem. I was just asking about the second half margin rate. And if I look at the second half bridge versus what you delivered in the first half, your expectation in second half is the positive contribution from revenue leverage, and from manufacturing efficiencies is the same, as it was in the first half, but could be you are guiding for better growth in the back half of the year. And you should also be making more progress from some of the savings initiatives that you have in place. So just trying to reconcile those two data points? Why should there not be more sales growth leverage and efficiency leverage in the back half of the year? I hope that was clear. And then my third question is a bigger picture question -- and then my third question is the bigger question on the portfolio. And obviously, Deepak this is a question that comes up often in investor conversations, and I know you get it a lot. But just your commitment to the shape of the group as it stands, and any desire to rebalance the contribution from the three divisions, given their respective growth and return profiles.
Deepak Nath: Thank you, Veronika. So I'll take the first and the second. I guess, well, there's a pattern here, and I'll pass it you, John, for the second. So in terms of growth -- it's a great question in terms of what does success look like in the U.S. We're clearly below market, and we have been over the last couple of quarters. So first step is really get to near-market levels. And that's what we're getting to or expect to get to in the back half of the year. As we go into 2025, you should expect as the quarters progress for us to get to at least market levels and a little bit beyond. Certainly, in Trauma, we're above market. OUS, we're above market. In the U.S. getting to slightly above market as we exit 2025 is what we're targeting. Now it doesn't sound hugely aspirational, but relative to where we've been, it represents a significant set of efforts for us on the journey that we've been on to get to that point. And if we do that, we are well able to deliver the set of targets that we've committed to you. Second, on the portfolio question, as you rightly point out, that does come up. And this is not an idle question -- it's certainly not an idle question for us as a management team or the Board. But what I can tell you is the single biggest thing I can do for you all as shareholders is focus on driving operational improvement in Orthopedics. As I look at all the different alternatives, the single biggest value driver is Orthopedics humming along. As I said, there was 60% of our business, we are more or less either at or actually above market. We are focused on getting the U.S. to place -- to the same place. I've outlined how specifically we're going to kind of get there. With the U.S. operating this way, that is the biggest unlock in terms of value. What that does also do for us is create options for us in terms of how we move forward as a group. I've also said previously, I do see synergies across our businesses. Scale matters in med-tech. And at the scale that we are, we do need all of our businesses to be performing for the group to perform. And we're very, very cognizant of that, which is why in the 12-Point Plan even as we've outlined fixing Orthopedics, not to be euphemistic about it, but equally to actually continue to nurture our businesses Sports and Wound at the same time. And I think we've demonstrated that we are and have done that. Will the last remaining bit U.S. in place? We will have a portfolio that basically is in good shape. And that gives us kind of the optionality in terms of how we move forward. So I don't want to dance around the topic, but hopefully, what you see us being laser-focused on the things that we can do right now to drive shareholder value, and that is the set of initiatives I've outlined.
John Rogers: And on your question vis-a-vis the margin bridges for half one and half two, and you made the observation that why we asked the question, why are we not seeing more operational leverage in half two, if we've got higher growth and why we're not seeing more efficiency savings come through, as we obviously extend and deliver against our plan? The answer to that question, I think, is reasonably simple. Of course, when you look at the operational leverage, there's two components, of course, to that. There's the price component and there's a volume component. What we're seeing in the second half is a slightly lower price component as a consequence of the timing of how increases are coming through. So roughly for the year, it's about sort of -- a little bit less than 1% overall on price. But the timing of that is weighted more towards the first half than the second. And on the volume component, clearly, there's a volume step-up in the second half, as there always would be. Net-net, it so happens that's the same number, the 1.2% leverage kind of dropping through. So that's the first answer. The second question was about efficiency savings. The reality here is that there's lots of moving parts. As I said to you, there's about 40-plus initiatives underway across seven different work streams. And they're each at different levels of maturity and cost base. And so some that are already well advanced and have been, frankly, well advanced for 18 months, so things are being -- these are things that have been in train for some time now are now starting to pay dividends. Others that we're starting and started later, like in many of these initiatives, result in a cost increase sometimes before you have to sort of go through the wave of then delivering the efficiency. And so this is just merely an offsetting of multiple different initiatives over time. And again, it so happens broadly speaking, the net benefit of that is the same in the first half and the second. There's a lot of stuff going on at the moment, that probably in this year is a little bit of a drag in the second half, but actually starts to really pay back in the first half of 2025. So that's the reason why you don't see that both the operational leverage flow through in the second half and also the efficiency savings. There's lots of different moving parts to delivering those efficiency savings.
Operator: This comes from Robert Davies of Morgan Stanley.
Robert Davies: I have three. The first one was just on the comment you made on previous quarter around the turnover in sales reps in the U.S. business and the compensation structure you got there. I'd just be curious to get an update on where we are on that. The second one was just on your indicative phasing of savings on Slide 20. There's quite a big step-up between 2024 and 2025. Just looking at the kind of key risks for what's actually coming through there? And if there's any chance there could be a slippage beyond '25? And then just the final one was really around where your view was on elective procedure volumes by different regions? You had sort of different messages from various companies of tailwinds versus were already normalized. Just be curious to get your views on where we are in that?
Deepak Nath: I missed your third question. I'm sorry.
John Rogers: I got it.
Deepak Nath: Yes. So -- in terms of sales rep turnover, what I'd indicated in 2023 is through a significant part of the year in the U.S. had gaps in territories. We had a leadership gap, in fact, in a significant part of the U.S., and that was one of the contributors to actually some of the performance challenges in the back half of the year, especially. As we now are in 2024, we filled all of the territories. So we're operating essentially at full strength in the U.S. All of the leadership team is in place. So we are at full strength. And in terms of turnover in our reps, that's actually come down to normalized levels, right? So all of those point to a level of stability in the organization. What's also important is product availability. That's been a very significant challenge for our commercial team, and with knee sets finally falling into place in Q2 on the back of hips really getting there in Q4 of last year and replenishment kind of improving right along the year, product availability, I can tell you, is no longer a topic for reps. And that's been one of the factors driving rep churn. So we're in a good place on product availability. We're in a good place in terms of leadership there. We've been able to attract actually good talent across the industry into an organization because people are attracted by our product portfolio. We've got great products in Recon. Yes, our share position is reflected, but if you are a patient, if you're a surgeon, you know how good our products are and our reps see that. So we've been able to recruit good reps. And finally, on the compensation scheme, we've rolled that out, right? As I've indicated, in 2022, we're really largely up until that point, operating in a mode of retention-based schemes. Now there are good reasons for that. It's because historically, we've had challenges retaining the business for product availability reasons, product portfolio gap reasons and other things so the challenge around even retaining business. We're now with all of those things. Largely at hand, we're able to be much more front-footed and we've got an incentive scheme that rewards that. Not everybody is going to like that, right? We expect that. But it's now been rolled out and people understand what they need to do to earn their quota. So that is all at hand. And then in terms of procedures, I've commented in the past that in Recon because we've had performance challenges of our own, I don't tend to comment independently with our own data on how we're doing. We see all of the data sets in the industry that everybody else does, right? But when you have performance challenge in that business, it can be hard to parse what's market and what's you. We can do that very well in our other businesses in Sports and Other things. We have a pretty good view of what's happening in the market. But in Ortho, particularly in Recon, I've been somewhat circumspect about commenting on what's actually happening in the market, independent of what we all see with other companies reporting. What I can say with that proviso is the market seems pretty robust, back to more normalized levels. We clearly saw in Q1 and Q2 of last year, a very frothy market. We're not in that world right now. We're in a more normalized world. But -- so for us, our assumptions as far as the guidance that we gave assumed a normalized market. So we're not counting on a market tailwind to do our numbers. Hopefully, it gives you the color around. It is not a straightforward answer as you might like, but at least you know the -- our thought process there.
John Rogers: And just on your question around the phasing of savings, the chart shows, as you know, accumulated savings over time on a '23 base. And as you rightly highlight, there's a big assumed step-up in 2025 versus 2024. That shouldn't obviously be a surprise to you because our margin guidance, the '25 is north of 20%, and our margin guidance of '24 is north of 18%. So that's what it takes to get to our 20%. The reason for that phasing is a lot of the savings that we're forecasting to come through from manufacturing, we see a big step up. But actually, if you look at the chart and you unpick the detail, it's really across all the areas, as we start to implement these initiatives, start to deliver. We get sort of some within year effects in the first year and then we got a full annualization in the second year and then they build. So that's really explaining the nature of these savings coming through and the timing. I think you also asked a question about beyond '25. And again, you can see there's a little bit of further coming through in '25 and '26, which all else being equal, obviously helps margin in those years. But as I said, what I don't want to happen is for this to translate into any form of indications, as to where margins will be in '26 and '27. There's a lot of time between now and then, a lot of moving parts and we'll come back to that, obviously, in due course. The one thing I would want to make clear, we said all along that the '25 margin target is challenging. And it is challenging because of all the reasons we've talked about. We've got the inflationary headwinds, and they've been perhaps a little bit stickier than we first envisaged. We've got the China VBP which was -- came out post us providing this target range. And so we've to necessarily get into the business, get into the detail, look at the 12-Point Plan and we've been able to identify these additional savings, which help us offset some of those headwinds and challenges. But the target of '25 remains challenging, but we're confident in reiterating the guidance today of north of 20%.
Deepak Nath: I think with that, I understand, we're at time. So wanted on behalf of John, myself and the management team, thank you very much for your attention and engagement and look forward to coming back to you next quarter reporting on progress.